Bradley Vizi: Good morning, everyone. This is Brad Vizi, Executive Chairman of RCM Technologies. Welcome to the RCM Technologies 2019 Third Quarter Earnings Call. I am joined today by Kevin Miller, our Chief Financial Officer. Kevin will begin with the legal disclaimer, and then I will summarize the operating results for each of our business units before opening it up for questions. Kevin? 
Kevin Miller: Good morning, everyone. Our presentation in this call will contain forward-looking statements. The information contained in the forward-looking statements is based on our beliefs, estimates and assumptions and information currently available to us, and these matters may materially change in the future. Many of these beliefs, estimates and assumptions are subject to rapid changes. For more information on our forward-looking statements and the risks, uncertainties and other factors to which they are subject, please see the periodic reports on Forms 10-K, 10-Q and 8-K that we file with the SEC as well as our press releases that we issue from time to time. 
Bradley Vizi: Thanks, Kevin. Now I am pleased to highlight the operating performance of our third quarter of fiscal 2019. I will discuss each division separately. Our specialty health care staffing group set a third quarter record with $16.8 million of revenue and $4 million of gross profit. Revenue and gross profit grew by 11% and 20%, respectively, as compared to the third quarter 2018.
 Growth was principally driven by our schools business. As we enter the fourth quarter, the health care segment is really starting to hit stride. We anticipate revenue of $25 million, exiting 2019 at $100 million run rate. We are pleased to report that we are off to a good start with our new Hawaii RBT contract, with 40 RBTs on assignment as of this week. We expect to see steady sequential growth in this contract over the next several quarters and years to come.
 As a reminder, we were recently awarded a 3-year contract to place registered behavior technicians, or RBTs, with the Hawaii Department of Education. Under a new mandate passed by the state, the Hawaii DOE is adding RBTs to its contract. An RBT is a certified power professional who practices under the close ongoing supervision of a Board-Certified Behavior Analyst. The RBT is responsible for the direct implementation of behavior analytic services, primarily for autistic kids. The annual value of the contract is anticipated to be $40 million. It is important to note that this new RBT contract with Hawaii is not a sole source contract. However, based on our market share and historical performance with the client, we anticipate the contract will provide material accretion to operating performance in 2020 and beyond.
 DOE Hawaii is our first market to embrace the RBT model. We are currently researching the opportunity to leverage our experience to provide a similar solution to other school districts. Growth in behavioral health is significant, and we are working diligently to position ourselves as a leading provider in our education end markets.
 We were disappointed with the performance of our engineering segment in the third quarter. Revenue of $15.1 million was below expectation. As previously discussed, we knew that we would see softness in the third quarter as several major contracts have been delayed, preventing us from being able to offset the faster-than-anticipated decline of some of our legacy power generation work. Though we anticipate continued year-over-year softness in our engineering segment for the remainder of 2019, we believe we have hit trough levels and expect to return to growth in 2020.
 As mentioned on our previous call, during the second quarter, we won the preliminary engineering for a $15 million EPC contract to build a new calcium chloride manufacturing plant. We have completed Phase I and are now beginning Phase 2 of the preliminary engineering in the fourth quarter, while the developer is focused on site selection. We anticipate that after completion of preliminary engineering and site selection, we will be selected to manage and implement this contract sometime in 2020.
 As we look forward to 2020, we are in advanced discussions on several potentially sizable MSAs in addition to being in the final round of contention for a couple of large EPC projects. While we believe our 2020 outlook is much improved, we are currently taking advantage of trough levels of operating activity to make much needed changes, positioning the engineering segment to focus on our core transmission, distribution and industrial end markets.
 Our information technology group continued to perform well, with revenue of $8.3 million in the third quarter of 2019, a 4% increase over the prior year. We also experienced gross profit of $2.5 million, an 18% increase over the prior year. Our third quarter gross profit was the highest it's been for over 3 years.
 Performance this year has been led by our Life Sciences business, adding several new clients and expanding the work we do with existing clients. Also of note, we believe we have completed the turnaround of our HCM business, which should provide a tailwind to performance as we move forward. The upward trajectory and the performance of our IT group is the result of a significant transformation of sales, recruiting and management personnel since we made a leadership change in 2018. We look forward to continued progress from the information technology group.
 On a consolidated basis, we look forward to closing out fiscal 2019 with sequential and year-over-year EBITDA increases in the fourth quarter, building momentum for a strong 2020.
 This concludes our prepared remarks. At this time, we will open the call up for questions. 
Operator: [Operator Instructions] 
 Our first question comes from Alex. 
Alexander Rygiel: Alex Rygiel, B. Riley FBR. A couple of quick questions. First, as it relates to the RBT contract in Hawaii, fantastic contract. How should we think about the piece at which that $40 million contract kind of rolls in through your P&L? 
Kevin Miller: To be really honest, we really don't have a good handle on it as of yet. The annual spend of $40 million, there are maybe about 10 different companies that are approved on that, but there's really only about 3 or 4 that we consider to be sort of real competition for that contract. I think that the biggest -- frankly, the biggest impediment to capturing a lot of that $40 million is our ability to find the people. So it's not a situation where it's super competitive. And it's really just a matter of how quickly we can find the people and fill the positions and as the State of Hawaii increases the number of RTBs. So we've got about 40 on our payroll right now, and we probably have another 40 trained and ready to go, but we need to find the supervisors for the other RBTs, and we certainly have the ability to train more. So -- but to answer your question, we really just don't have a good feel for how quickly we can get to 100 RBTs and more. We know that we can and we know that we will, we just really don't know when. 
Operator: Our next question comes from Bill Sutherland. 
William Sutherland: Where else is this RBT position mandated, and whatever levels, state or more local, because I think it'd be the key. Is that the key? 
Kevin Miller: Yes, we're not aware of any states that have mandated it to the level of Hawaii, but we believe that more states will. And while they may not mandate it the way that Hawaii does, we do think that more and more states will provide the funding for it and either mandate it or encourage it. So we're excited about -- we feel like we're in the first inning of this sort of service, and that this is something we can roll out countrywide and have a bit of a competitive advantage in terms of really understanding that market and having the ability to manufacture RBTs. 
Operator: Our next question comes from [ Steve Bolo. ] 
Unknown Analyst: Can you address the -- your receivables? It looks like it's over 4 months' worth of revenue in there. 
Kevin Miller: Sure. I mean, first and foremost, the receivables are way too high, and we're working to get those down and believe that over the next quarter or 2 that we'll see a significant reduction or at least a significant change in the ratio. But we've got a couple of things going on there. We currently have some issues with New York City Board of Education. We have about $4 million in there for bill rate increases that have been approved, but aren't in their system yet. And those bill rates go back to January 1 of this year. We're pretty optimistic we'll get that cleaned up this quarter, but it's possible it could go into the first quarter of next year, I hope not. Additionally, we have a large receivable tied up in arbitration that we think has a good chance of being resolved in this quarter. But if it's not resolved this quarter, we believe it's certainly going to be resolved in the first quarter of next year. That's about $12 million. And then we've got a number of engineering contracts that have either -- they basically have, like, managed task, billing or milestone billing. And the third quarter, we've got a couple of those contracts where we just can't bill yet. But we expect to see some improvement over the next quarter or 2 there as well. Those are the major factors driving the high receivable balance, [ Steve. ] 
Operator: Our last question comes from Alex. 
Alexander Rygiel: Alex Rygiel, again. Regarding the calcium chloride plant, when might this project hit its construction phase and generate a material amount of revenue and earnings to the company? 
Kevin Miller: We don't know the answer to that is the short answer, but we believe that -- we believe there's a good chance we could kick this project off sometime in the first quarter of next year, likely towards the end of the quarter, but we just don't know yet. 
Operator: There are no more questions in the queue. 
Bradley Vizi: Okay. Thank you for attending the RCM's third quarter conference call. We look forward to speaking with you. 
Operator: Ladies and gentlemen, thank you for joining. You may now disconnect.